Operator: Greetings and welcome to the American Resources Corporation Fourth Quarter and Year-End 2023 conference call. At this time, all participants are in a listen-only mode. A brief question and answer session will follow the formal presentation. [Operator Instructions] As a reminder, this conference is being recorded. It is now my pleasure to introduce your host, Mark LaVerghetta, Vice President, Corporate Finance and Communications. Thank you. You may begin.
Mark LaVerghetta: Thank you and good afternoon, everyone. On behalf of American Resources Corporation, I'd like to welcome everyone to our fourth quarter and full year 2023 conference call and business update. We always welcome this opportunity to provide an update on our businesses and discuss our accomplishments we made over the past several months and how we are uniquely positioned within the end markets that we serve for our American Carbon, American Metals, and ReElement Technologies divisions. On the call today is Mark Jensen, our CEO, Kirk Taylor, our Chief Financial Officer, and Tom Salve, our President. We will provide some prepared remarks today and then we'll go into some questions and answers. Before we kick it off, I'd like to remind everyone of our normal cautionary statement. Certain statements discussed on today's call constitute forward-looking statements within the meaning of the Private Securities Litigation Reform Act. These forward-looking statements are subject to risk uncertainties and other factors which could cause actual results to differ materially from the results discussed in the forward-looking statements. Considering forward-looking statements, you should keep in mind the risk factors, uncertainties, and other cautionary statements which are laid out in our press releases and SEC filings. We also do not undertake any obligation to update, revise any forward-looking statement, whether as a result of new information, future events, or otherwise. Lastly, for anyone wanting to ask a question today, I believe you will need to dial in by phone to get into the queue. We're going to begin today with a few comments from our Chief Financial Officer, Kirk Taylor. Kirk?
Kirk Taylor: Thank you, Mark, and thank you, everyone, for taking a few minutes out of your day to listen to our fourth quarter earnings call. Over the past several months, we've continued our execution on solidifying our strategic positioning within our adjustable markets, which we believe positions ourselves and our company for attractive long-term value creation. In doing so, and in conjunction with the directive of our Strategic Committee from our Board of Directors, we've embarked on several initiatives to unbundle our unique platform of assets to better unlock value for all of our shareholders and position each entity as a standalone company. Much of our focus over the past several months has been to position and prepare both American Carbon, as well as ReElement Technologies as a standalone public companies. These efforts include securing growth capital, such as a $45 million tax industrial bond for our Wyoming County Coal Complex, and our recently announced, or as of today, announced securing a $150 million net-of-fees industrial development bond to develop what we believe is the nation's first of its kind lithium and critical mining mineral refinery in Kentucky. Both of these examples show that we have successfully capitalized near-term and intermediate-term growth plans for both American Carbon, as well as ReElement Technologies. Today's closing of our second tax-exempt bond is another tremendous milestone for our company, as we continue to put the necessary pieces in place to execute on our mission. This is another monumental moment for our ReElement Technologies division, and for our country. Our Kentucky lithium project is such a great example of how we can efficiently execute on our nation's energy transition goals. The planned transformation of our Knott County facility enables us to utilize controlled land, resources, and already-in-place infrastructure, and a tremendously skilled workforce to quickly meet the needs of the rapidly growing energy storage market, along with utilizing our groundbreaking refining process to produce ultra-pure battery-grade products in an environmentally safe and low-cost process. This region of the country is well-positioned geographically within the developing battery belt and comes with a long standing history of pride and know-how in the raw material commodity processing industry. We appreciate the leadership of Knott County, Kentucky in working with us and sharing in our vision, and again, working with Hilltop Securities in their exceptional execution throughout this process. We're also in the process of working to secure additional sources of project development and growth capital through the tax and bond market government incentives and grants, as well as bringing in strong equity partners, both strategic and financial, that is across both American carbon, American metals, and ReElement Technologies. I'll briefly go over year-end American resources consolidated summary. Over the past year, we have showcased our operational flexibility while also prioritizing the most accretive use of the capital and securing additional non-dilutive capital to position our unique set of assets and execute on our value creating initiatives. Our full year 2023 revenues of $16.7 million, which is a decline from 2022, are attributed to our decision to allocate capital to the most accretive uses throughout all of our businesses, ReElement, American Metals, and American Carbon. As such, our management and Board chose to aggressively advance the development of ReElement Technologies, which include operating and expanding our Noblesville facility for customer qualification and validation, large-scale domestic project development, which includes the Marion Super Campus, as well as the Kentucky Lithium Project, international expansion, adding to what we feel is a world-class team, and procuring feedstock and off-take agreements. Now, additionally, while we've also been focusing on streamlining our balance sheet and continuing to reduce our bonding costs, our long-term environmental liability at the corporate level and at the operating subsidiary level. As such, we chose to keep our metallurgical carbon extraction processing activities idle and in the development stage while working aggressively to mitigate ongoing environmental liabilities attached to the permits that we acquired through previous bankruptcies of prior legacy producers. Throughout the year, we did not take on any meaningful new operational debt, and the only new project debt we took on was associated with the issuance of a tax-exempt bond for the development of our Wyoming County and West Virginia mining complex. As of today, our current shares outstanding are just over 79.1 million Class A common shares. Cash on hand at the end of 2023, including funds held for development of Wyoming County Coal Complex, is $37.3 million. And again, as a reminder, all of our excess cash is held in FDIC limits at a top-tier U.S.-based bank. Our unique platform of assets is in a tremendous position to deliver attractive returns and value to our shareholders. I'd like to now turn the call back over to Mark LaVerghetta for some additional comments. Mark?
Mark LaVerghetta: Thanks, Kirk. I'm going to make a few comments on ReElement Technologies. As we frequently state, our ReElement Technologies division represents an incredibly exciting and very strategic opportunity for us. We've never been involved with an entity that, in our opinion, has as much upside than ReElement. Our mission has always been focused on how to most efficiently and effectively deploy critical mineral refining outside of China. And it had always been our belief that attempting to deploy legacy Chinese refining technologies in the U.S. or Europe, really any other part of the industrialized world, would pose real challenges. Those types of facilities and technologies are extremely expensive to build and operate due to the harsh chemicals, waste output, and maintenance at large scale, and are not sustainable outside of China. Given the projected growth and demand, the geopolitical landscape, the monopolistic position China has facilitated over the past couple of decades, and the rapid execution we've achieved to date, ReElement is uniquely positioned to solve complicated and pressing problems that exist today. As such, we sit at where I say is the intersection of critical mineral supply chain health and resiliency and national security interests. As we continue to strategically position ourselves in the global supply chain for critical minerals, it is becoming more and more evident that we are separating ourselves from the pack as the preeminent refining solution outside of China, and the most efficient critical mineral refining platform in the world. Our ability to produce high purity lithium products, battery elements, rare earth oxides, and critical defense elements for both recycled feedstocks as well as from natural feedstocks showcases our platform's flexibility, and certainly differentiates us from anyone else out there. While our platform's flexibility uniquely positions us across multiple supply chains, we also have to stay focused on our particular end markets we serve and as we continue to execute and scale. Those end markets are, the production of rare earth oxides that are predominantly used for the manufacturing of permanent magnets, which are critical components within high efficiency motors in applications such as electric vehicles, windmill turbines, power tools, as well as critical defense technologies. Also the production of either ultra-pure lithium carbonate or lithium hydroxide, which are precursors for battery cathode that are used in a variety of lithium ion battery technologies. And then as well, another end market is critical defense elements. These are highly unique for certain defense or military applications. The feedstocks that we're currently most focused on are both primary ores as well as recycled feedstocks, which again, you know, contributes to the unique aspect and our unique positioning throughout the global marketplace. These feedstocks include end of life rare earth permanent magnets, which can come to us as magnets themselves or part of decommissioned wind turbines, electric vehicle rotors and motors, or any other consumer goods such as power tools and other e-waste. This is really where we cut our teeth and how we began ReElement Technologies with our partners at Purdue University in extracting the rare earth elements from the magnets and refining them back into magnet grade rare earth oxides. Another key feedstock for us is black mass, which is shredded cathode material from lithium, excuse me, lithium ion batteries and lithium ion battery waste or scrap. Not all black mass is the same. There is very wide range of qualities and a variety of different battery chemistries that have different inherent elements and minerals. We've taken in black mass from well over a dozen producers worldwide and validated the efficacy of our technology. It is important to note that the battery recycling industry's competency is really in the collection and aggregation of batteries and shredding them to produce a black mass material. Black mass cannot be used in the manufacturing of new cathode or batteries and requires further refinement of the material to produce battery grade precursor products. The competency of those platforms is not in separating the high value elements in black mass and refining them back into battery grade precursor products. That is where we step in. Additionally, our ability to handle different types of black mass chemistries is another distinct differentiator of ours. Typically, battery shredders require NMC or nickel manganese cobalt type battery chemistries in order to monetize the inherent nickel cobalt value. While most, if not all, of the lithium is either lost or wasted. A lot of NMC black mass is sold today into China for refinement, which we believe will eventually be restricted or banned. And we are having success as a value added partner to separate and refine NMC based elements for certain recycling platforms all over the world. However, our ability to economically refine LFP or lithium iron phosphate black mass is extremely unique. And we believe we are the only ones in the world that can economically extract the lithium and refine it back to battery grade products. LFP chemistry is the largest sub-segment of lithium ion battery chemistry today in the world and growing. It also sets us apart from any other critical mineral refining platform and showcases the value of our platform to the recycling industry. Our value added position in the recycling market and a sustainable supplier of critical minerals is strategically important as we move towards a highly mineral dependent electrified economy. And from our perspective, traditional solvent based processing methods don't work efficiently within the recycling industry for a variety of reasons, including performance, CapEx and OpEx fundamentals. Those challenges are beginning to manifest themselves in a big way across the recycling industry. Our powered by ReElement product offering, which is a collaborative and flexible refining service within the recycling industry, has tremendous growth opportunities to efficiently scale alongside the growth of the recycling industry while also being able to adapt to different and evolving battery chemistries. And we are beginning to see the success with some early adopters and partners. While recycling feedstocks are important from a sustainability perspective and provide us a tremendous opportunity, natural ores will allow us to move the needle faster to meet the rapidly growing demand of the energy storage market. Our current focus is mainly hard rock lithium bearing ores. Given the efficiency of our process and technology to refine lithium very cost effectively. However, we also currently are working on different ores types, including cobalt and nickel bearing ores, unique and specific critical mineral defense minerals. And we are also in the early stages of incorporating rare earth ores into our development platform. Our commercial qualification plant in Noblesville, Indiana, has been extremely busy taking in these different feedstocks and validating our process and products with a variety of existing and potential partners in a variety of industries, including the renewable energy space, automobile OEMs, battery recycling, consumer power tools, and miners of minerals and ores from across the globe. These customer qualification and validation processes have sometimes been lengthy, sometimes taking over a year. But they have also been successful in showcasing our distinct advantages. Additionally, our Noblesville facility has been hard at work utilizing these feedstocks to validate and design our process at larger commercial scale. For our two U.S.-based large-scale projects in Knott County, Kentucky, and Marion, Indiana, while also other co-located facilities in the United States and abroad. Our two large-scale U.S.-based critical mineral refining projects exemplify how we are leading the charge and are uniquely equipped to address probably the largest choke point in the critical mineral supply chain, which we believe is midstream processing in refining. Our Kentucky Lithium project is upcycling one of our carbon processing facilities in eastern Kentucky and transforming it into a large-scale critical mineral refinery with initial focus on hard rock lithium ores as its primary feedstock. It is currently being designed with an initial capacity to produce 15,000 tons per year of battery-grade lithium, and will have the ability to incrementally add modular capacity beyond that. As previously discussed, this project is now funded with the closing of our tax-exempt bond we announced today, and I cannot think of another project that defines energy transition better. Our Marion, Indiana, Supersite project is converting what was once a beacon of U.S. innovation in manufacturing, it was once the largest television manufacturing facility in the world and is transforming it into a first-of-its-kind critical and rare-earth mineral refining campus with a focus on recycled feedstocks. This facility has been undergoing renovations and is being designed with initial capacity to produce 5,000 metric tons of battery-grade lithium and 1,000 tons of rare-earth oxides per year. I cannot think of another project that defines the reshoring of U.S. manufacturing better than this project. Our innovative and advanced separation and purification methods using chromatography replace the guts within a typical hydrometallurgical process. In essence, we use a modified version of hydromet, but without the harsh solvents and acids that are typically used in the separation phase of refinement. This allows us to displace the toxic conventional methods used in China and what many are trying to attempt to deploy outside of China. We are lower cost and more efficient because we utilize a smaller footprint, we don't use harsh chemicals, meaning our OpEx is much lower and our environmental footprint is much cleaner. Our process is modularly scalable, contributing to a meaningfully lower CapEx. Also, our speed to market is faster than anyone else. Disruptive technologies comes down, in my opinion, to cost and know-how, and we are in a unique and fortunate position to have both. Our intellectual property has been developed and commercialized with approximately 40 years and over $40 million invested across multiple industries. Our best-in-class team leverages the know-how from the research and development, the commercialization, and operational expertise coupled with our asset base and relationships to execute on our mission. And we are able to produce high-demand products cost-competitively, if not lower than China. We believe our platform technology is an important linchpin in making the United States competitive within the electrified economy, as well as for national security objectives. The value proposition for ReElement is, the world needs advancements in refining these raw materials that power our modern-day technologies, and we believe we provide the most efficient solution while also being in the lead position to do so. We truly believe ReElement has the opportunity to create substantial and meaningful value for our shareholders, and the decisions we make and the time associated around the entire process, while sometimes certain things being out of our control, are based on maximizing that value the very best that we can. I'd like to now turn it over to Mark Jensen for some additional comments. Mark?
Mark Jensen : Thanks, Mark, and thanks, everyone, for joining. I would also like to applaud our entire team for their efforts, their diligent planning, and their positioning of all of our assets. We're a unique company. We have three platforms underneath one umbrella. Those assets aren't being fairly valued. And more importantly, we recognize that. So what we're focused on doing today is positioning our assets to unlock that value, to give our team members the tools that they need to execute upon that plan, to drive value for our shareholders through individualized entities upon the separation of what they're able to accomplish. The past several months have been highly focused on preparing for this positioning of these businesses for the separation and operation of stand-alone companies. That involves having board members in place for corporate governance, having the team members in place for execution, and giving them the tools that they need to take these businesses to the next level. Thankfully, we are very well suited to do that today. We have boards in place for each one of our divisions. We have teams in place for each one of our divisions. And we have the assets in place and technology in place to absolutely crush it. We have focused on driving the highest value aspects of our business forward for the long term. We have shared and communicated a number of very significant milestones that we've been able to achieve. And we have a number of significant milestones yet to come. But we are in a very favorable position within the marketplace, not only at the American Carbon Division where we have some nameplate assets that are some of the lowest cost mining operations that are getting ready to ramp up production aggressively between our Wyoming and McCoy complexes, as well as our ReElement Technologies Division, which Mark and Kirk had the luxury of sharing some of the opportunities that we have in front of ourselves. We're extremely excited about these entities, and we're extremely excited about where they can go upon the separation of the businesses so that they have their core focus and their ability to focus solely on their operations. Over the course of the last quarter, we have been investing heavily into the businesses. Wyoming has been developing from the tax-exempt bond. McCoy has been positioning the ramp up of our Carnegie mines. And ReElement has been focused on proving out and running production in our Noblesville facility, but developing our Kentucky Lithium site, our Marion site, as well as our international opportunities that we have made significant milestones on. The world of critical minerals, the supply chains are broken. We rely upon China for 95% of everything we do. Our military, our commercial enterprises. And the only thing they all care about is cost. We can provide products at the same cost, if not better than what China can do today. That's a game changer. We're going to break the monopoly, we're going to bring technology to the forefront, and we're going to execute upon our mission. And we're going to do that in a very rewarding way to our shareholders. We've been laying the groundwork for that. We've put the assets in place. We've proven that the technology works and works extremely well. And our operational team has done a phenomenal job at that. Now we're putting the financing in place with the $150 million tax-exempt bond we closed today and another tax-exempt bond we're working on as we speak. We've applied for government grants, we'll see if we get them. We also have a significant number of international financing operations that are in place that can unlock our international efforts, especially in Africa. They need what we offer. We offer refining solutions that they can't get anywhere else other than China, and that product goes to China. It doesn't develop a manufacturing society. It's exploitation where we're focused on developing economic relationships. Our technology enables that, developed out of Purdue University here in Indiana. We're extremely proud of that. We're extremely proud of the efforts that our Purdue team has put in place and the support that they've given our operational team to drive our technology forward. Our team has worked countless hours to be where we're at today. Today it's about running production every day in our Noblesville facility and gearing up for our Kentucky site as well as our Marion site. Our team has been working countless hours over in Africa, and traveling numerous times over there to develop the relationships and share what we bring differently to the table to drive economic value for our shareholders. Turles Thompson has been leading our American Carbon Division to position these assets to light the fire of production at low cost. It's everybody wants revenue on a daily basis. We care about long-term value. We care about making sure we turn these mines on to optimize them. We've reduced environmental liability significantly over the course of the last year, including over the last quarter. And we'll showcase that here shortly. Our intent is to spin these assets off and ramp up production at all divisions. And we're going to do that. And we're going to share that news here very, very shortly. I'll talk about that a little further here later on during this call. As Kirk mentioned, we have not taken our foot off the gas. We've been aggressively planning, working, positioning to execute upon the strategy. We've spun off our Nova Stare asset, a phenomenal business. We've gotten one contract with the Air Force and the Army through Kenai Defense. Working on getting through their S-1 process to IPO later this year. We will very shortly here next week announce when we're spinning off our American Carbon Division so that we can ramp our production there. And the team can focus solely on being the lowest cost producer of MET coal to the steel industry. And we'll then shortly thereafter announce where we're spinning off ReElement into its own standalone platform so it has a clean focus on being the world supplier of refining solutions for critical minerals beyond China. And I truly believe we will be the only solution that works economically in this country as well as in others for that separation purification step, which is really the heart of what we do. We've also been focused on putting these non-dilutive capital financings in place to protect our shareholders. We can hit the easy button tomorrow, easily. We can go out and raise equity capital and do what every other company does, but we actually care, our team actually cares. Our team is motivated by the shares in equity that we all own and that our families own. That's important to us. So we don't hit the easy button. We fight the hard fight to put our businesses in place to be successful. We've closed a $45 million tax-exempt bond in one of the most challenging markets you could find with a phenomenal investor. And that capital is being used to develop the Wyoming County complex to be an absolutely phenomenal complex. It's a focus on producing met coal and then a byproduct of producing concentrates of rare earth elements, of which we'll share those results very shortly, which are better than one of the largest mining operations that have announced rare earth elements to date on a parts per million basis. Absolutely phenomenal results. We've announced that we've had offers to sell the coal business. And the numbers, the values were good. We're okay with them. The concern was around structure. We're not going to put our investors at risk of not getting paid the full consideration of what those assets are worth. So our focus next week will announce the record date and the payment date of when we're going to spin American Carbon Off. Now, we are focused on still monetizing the assets, and we're still going to evaluate opportunities to monetize those assets. We have signed agreements, binding agreements to sell the Deane Complex, but they didn't pay us. It's unfortunate. That being said, they owe us a lot of money, and we're pursuing that in court as we speak. And I think we'll get it. I feel very confident about that. Feel very confident about our position to make sure we get that money for our shareholders. We also have other interests and other buyers that are interested in some of the non-core, non-focus assets for the quality of production that we're looking at targeting. And then post-spinoff, we are looking at further expanding American Carbon, and the American Carbon executive team has presented a plan of growth to the division organically, as well as acquisitions in the West Virginia region, as well as in other materials. During the course of the last short period of time, we acquired an iron ore asset, which is a phenomenal asset. We're doing a ton of work there right now on evaluating the reserve and sending actually a few team members out to that region here very shortly, to further look at how we bring that into production and look at technologies to monetize that most economically. So it's not only looking at the Met Carbon division, but looking at the entire infrastructure landscape of how do we produce products to monetize that division and expand that division. The American Carbon division, as I mentioned, we will announce next week the date. We'll provide clarity of when we're going to dividend it out to our underlying shareholders. And then we'll share the growth curve of how we anticipate that. We have equity interest. We have debt interest to further finance and expand that division. And we're going to focus on growing that division to make sure that the shareholders receive the entire reward of what it's worth. ReElement, same thing. We filed a Form 10 for both of these divisions. We're going to push that through. We're working on closing the financing that was previously announced. We have great interest in it. We don't need a lot of that with the tax-exempt bonds we just closed. So we're going to try to focus on minimizing dilution, but bringing in the necessary capital to continue to move the business forward as quickly as we possibly can. The opportunity today at ReElement has had us focusing on allocating capital to make sure that we're allocating it in the most accretive way. Our Marion facility is going through certificate of occupancy in the next few weeks, and we believe we'll get it. Our ability to finalize the renovations there over the next few months to start deploying equipment there will enable us to expand our production in Marion as well as expand our refining capacity in Noblesville. And that's a beautiful thing for us. We are the only refining facility in the United States that can perform at the purity levels that we're able to achieve that are necessary to build a domestic battery industry. Internationally, we've made huge strides within our international footprint for ReElement. We've had conversations with groups out of Canada, Australia, numerous groups out of Africa. Some of our largest sourcing of materials are coming out of Germany that we're refining, that we'll be refining in our Noblesville and Marion facilities. Establishing those international relationships takes time. That being said, we've been putting a lot of groundwork there, and I think we've collapsed that time significantly due to the efforts of our team members and the willingness and passion to travel to spend time away from their families, to build a team and build a platform that can help us grow to that next level very, very quickly. Ultimately, it's about partnerships. We've announced numerous partnerships over the course of the last year. We've announced EDP. We have numerous partnerships, we're not allowed to mention their name. That's unfortunate. That being said, they're great partners, and ultimately, we're getting calls from numerous other partners that need these solutions that we provide. Over the course of the next year, we'll be able to talk much more openly about who these partners are, we hope, as we continue to expand the relationships with them, not only from feedstocks but also the sales side. And we also look to continue to expand all of our platforms on the international footprint. In closing, we remain very confident in the positioning of all of our assets and the long-term value that they provide to our shareholders. We remain hyper-focused on unlocking that value. That's why we're focused on these distributions. That's why we're focused on spinning them off. A microcap conglomerate doesn't make sense. We're fortunate that we built a microcap conglomerate. We did it based on effort. We did it based on we put ourselves out there. The technologies worked, the platform worked. The platform is positioned, and now it's time to let them go off on their own and be successful. And we have the teams to be able to do that. These milestones were the distribution of Novusterra shares over the course of the last quarter, closing of our tax-exempt bond to finance both our carbon division as well as our ReElement division, and our ability to showcase the results of what our technology can produce. We have ample liquidity on our balance sheet. We do not foresee us needing to issue equity at the AREC level to raise additional capital. We do want to position the individual entities to do their finances on the American carbon side and the ReElement side. American resources post-distribution of these assets will expand aggressively into the critical mineral space on the mining front. We have numerous opportunities in front of us as well as on the utilizations of the products that we produce through very good partnerships that we've been working on for numerous months, if not years now. Just to reiterate, the management and the families of our management are some of the largest shareholders of American Resources. Our management team is committed to maximizing the value of all of our businesses and believe our continued execution and unbundling of these assets will help us achieve this. I thank you for all your time and I'd like to turn it back over to the moderator for some Q&A.
Operator: [Operator Instructions] Our first question comes from Heiko Ihle with HC Wainwright. Please state your question.
Heiko Ihle : Hey, Mark. Can you hear me all right?
Mark Jensen : I can.
Heiko Ihle: Perfect. Excellent. Hey, you've got these executed MOUs with the German battery recycling platforms at Duesenfeld Deal and the Battery Damage Service MOU. Obviously, arguably a very big market opportunity there, but can you maybe give some figures of what you internally think, how big of a market opportunity there might be in your collaboration going forward?
Mark Jensen : Yes, absolutely. So Duesenfeld, a phenomenal partner, same as Battery Damage Services. Duesenfeld actually just, I think it's putting on a boat one of our containers, I think a 53-foot container or a 40-foot container with some black mass as we speak. The attractiveness about the partnerships and what we do, we're one of the few players, if not the only, that can recycle LFP batteries profitably, and that's due to the technology, the process flow of how we extract lithium out of it. The size and scale of what that means, so Duesenfeld's a phenomenal company, phenomenal technology, and their business model is to operate their existing recycling footprint, but also license it out. And what's great about that is we got to really fund collaborative relationship with them where they refer us to their partners that are also buying their shredders. So this could be pretty substantial. Our goal right now -- I mean, we're in Noblesville, small footprint, 7,000 square feet. Our Marion facility is 400,000 square feet. So getting certification of occupancy there is obviously quite important for us to rapidly expand our production. But the meaningful nature of it is, one, obviously, domestically, there's a lot of black mass today that goes to China from the U.S., unfortunately. That's going to stop, I think, soon, and we'll be the solution here for that. We are the solution for refining here domestically. In Europe, I believe it's the same thing. We're getting beyond relationships there, but also helping them source product as well. And those relationships could be very meaningful for us from a revenue basis going in for the next 12, 24 months.
Heiko Ihle: That's very helpful. Also, your royalty income in 2023 was quite strong, just looking over the income statement. Can you provide some longer-term guidance on where we should model royalty income going forward in '24 and after that? And speaking of longer-term modeling, where should you think we should see G&A in 2024, please?
Mark Jensen : So that's a good question. So I mean, G&A -- so you got to understand where we're at in the platform right now. So I'll answer your last question first. It's going to change pretty dramatically because the divisions are going to separate. So each division will have their own G&A, but there will be a fraction of what the obviously holding company is today. So our G&A overall, though, will, I think, stay pretty consistently where it's at today. It's not going to rise a substantial amount. Obviously, with revenue increase, that will. And we're getting ready to do that. So we're obviously getting ready to expand our revenue base on the ReElement side. We're getting ready very quickly here to expand our revenue base on the mining side with the spin-off announcement next week and then also the ramp-up production. The -- so G&A will be -- I would say, on a whole, if you look across the entire platform will be pretty consistent where it's at today. It's not going to expand a lot if any. The royalty income, I would also say, is pretty consistent. It will be -- I think it will be pretty consistent going forward based on where it's at right now.
Heiko Ihle: Fair enough. Appreciate, I’ll get back in queue. Thanks guys.
Operator: And our next question comes from Mike Niehuser with ROTH Capital Partners. Please state your question. Mike Niehuser, your line is open, go ahead.
Mike Niehuser : Yes, you can hear me okay?
Operator: Yes, coming through, go ahead.
Mike Niehuser: Yes, thank you. Sorry about that. You mentioned that your very bold statements about breaking the monopoly with China, and I have to get you to explore that a little bit more. And I think that hinges on costs. And as you look at costs, when you -- when you make that statement comparing yourself to China and having lower costs, is that on a -- like a currency basis? Or does that impute an environmental savings? Because I get the feeling that both China and you are the other ends of the spectrum as far as the environmental impact where they've tortured some areas in China and you're nothing burger in the environmental footprint. So are you figuring that into breaking the monopoly? Or are you just looking at cold hard dollars?
Mark Jensen : Yes. That's a great question, Mike. Nobody cares, nobody in reality, about non-cash costs, meaning that you could have the best environmental footprint in the world, but if you're 50% more expenses, nobody is going to buy it. You have to compete head-to-head on cost. Now thankfully, we do that because we have a great environmental process. Our technology is environmentally sound. We don't use harsh chemicals. It's closed loop systems. We don't discharge elements in the waterways. We use columns and resins versus emulsion and chemicals. So we compete on cost because of our environmental footprint, but we compete head-to-head on cost. That's the only thing that matters when it comes to commodities. And I don't care what anybody says. Critical minerals are nothing but a commodity. We've been in the commodity industry for over 20 years. And if you can't compete on cost, you don't win and you don't survive. So absolutely. When I say we could be head-to-head against China, it's not us for China, but it kind of is. They are the dominant producer of rare earth elements today, and they're the dominant producer of critical minerals. They also refine the OBMs zirconium, all the other products that we rely upon in our great country. We compete head-to-head on costs for those products. In the United States, not counting logistics, not counting any noncash numbers, we compete based on dollars. Not only compete, we win based on dollars. If you look at lithium just -- I just give you an example. Lithium got down as low as about $13 a kilogram, lithium carbonate, which is one of the -- we can produce hydroxide, we focus on carbonate today. When you saw a lithium get down to $13 at scale and our 5,000 metric tons of lithium carbonate out of our Marion facility or a Kentucky Lithium site, we're profitable, significantly sub that. China and other players within the industry started cutting back production because the legacy method is expensive. That's a phenomenal place to be when we are -- the natural hedge we have in place is cost structure. And that's because of the team and the way that we push our team and the way that we focus on making sure that we survive commodity markets. So yes, it's purely dollars, Mike.
Mike Niehuser: Excellent answer. Thank you. On the American Carbon side, I'm not -- it's not clear to me what's operating and what isn't. It sounds like that the Carnegie mines that have been operating are not now. Is that incorrect?
Mark Jensen : No, that is correct. So we -- let me share you where we're at. So we're getting ready. We're doing development in Wyoming, and we spent a lot of time and energy doing development at Carnegie. We've also been working with some international customers that would be long-term customer base outside of our traditional platform of who we sell product to today, gives us more stability. Problem with some of our existing customers is it's been on again, off again. Really challenging to run a mining business like that. What is a phenomenal situation for us right now is the quality of the products that we have, the ability to produce a lot of product from a very low cost. Our Wyoming Complex is a mid-vault complex. We have over $30 some million to allocate on the deployment of that, also deploying the concentration technology, the ability to concentrate critical minerals which we'll share that over the next week or two. The results we got, which are phenomenal. As a byproduct, not mining critical minerals or rare earth elements and coal-based deposits. You never make money doing that. You only going to make money doing it as a byproduct. But where are on the mining side? So why are we not operating today is, one, the market is on again, off again. And two, we wanted to be in a position where we can ramp up Wyoming and Carnegie in relatively similar time frames and most importantly, ramp them up a very, very low cost structure. So Carnegie 1, it was a single section mine for a long time. We finished over the last quarter, developing the second section there. So we can operate it today as a 2-section mine. Carnegie 2 is already developed as a 2-section mine. The ability to ramp those mines up to get to that 60,000 tons a month number, based on the efforts of our team in a really low-cost way because we didn't allocate a ton of capital to the McCoy Complex over the last year -- or the last 6 months, I should say. That being said, Tarlis and the operational team did a phenomenal job there to position that and set them up for success. These are effectively virgin mines and pretty low cost, less than 5 miles from our Bevins branch facility. So ramping the production up there, tying that in, which is high-vol B product, high-vol A and tying that in with our mid-vol product at Wyoming, make an absolutely phenomenal blender at that 100,000 to 120,000 tons a month when they're both fully ramped up. And that's where we wanted to be upon the spin-off of American Carbon. So that's -- Carnegie will probably be the first open up. It will open up a few months before Wyoming, which is imminent in the next, I would say, over the next 30 days and timing it with the spin-off. And then Wyoming will be -- and Carnegie 2 will ramp up and Wyoming will ramp up here shortly thereafter.
Mike Niehuser: So when we look at the first quarter to be reported soon, we shouldn't be expecting a lot in the way of carbon sales, if any? And could I assume that we're going to start to seize a little bit of a trickle of rare earth sales, product sales start to come in?
Mark Jensen : In the first quarter, you will not see a lot of revenue. In the second quarter, you'll start to see all that from both sides.
Mike Niehuser: I imagine you're going to have a very, very, very busy second quarter It’s going to be fun.
Mark Jensen : I mean I will say that I think our teams worked 7 days a week for the last couple of years, but the -- getting all the corporate and getting spinout is done really complicated, excluding the Novusterra one. Thankfully, we got that done and completed and all the shareholders that held shares will have -- should have those Novusterra shares in their accounts that they don't call their brokers and make sure that they deliver them to you because they've been delivered out of our accounts. Getting American Carbon spun out, which over the next -- we'll announce that next week, will be very timely and give the team focused, right? The teams want to be motivated based on their success. And so putting those into their isolated platforms gives them the ability to focus on their growth and making sure that they have the corporate structure in place to do that. So yes, I mean, we -- I will say we laid a lot of groundwork, but now it's focused on ramping up production in our Noblesville facility. The team has done a phenomenal job at ReElement. So they're focused on ramping up production, running production every day. I think we're going to -- I think we're going to almost essentially 3 shifts at our Noblesville facility, which is awesome. I really need to see the planning there. And then at the mining side, I mean, Tarlis is pretty aggressively wanting to ramp up and get the complexes at full throttle based on where they're at today. I mean this is the first time we've ever been in a position where the mines could be fully expanded and working with some of the international customers that we have that we're finalizing some relationships with hopefully, very shortly, will put us in a really good position.
Mike Niehuser: And if I can ask one more question. We're really at an historic time in our country's history or the economy's history here of reestablishing a rare earth circular supply chain. And not only with the ores, but also with the recent announcement or end-of-life materials from an unnamed auto manufacturer, along with the relationship that you have with a couple of battery -- or excuse me, magnet manufacturers, can I get a comment upon the state of reconnecting the lengths of the circular economy because I don't think it will ever be quite like this again? And it's really starting to take form in multiple ways with the work you've done. And that should be my last question.
Mark Jensen : Yes, that's a -- we can talk for a while about. I mean, you look back over the course of the last two years of, one, communicating what we can do, showing what we can do and then bring it into partners that are slow to act. And I will say, today, people aren't as scared as they should be of the supply chains that we have today. Our military relies upon China for product. That's scared. I have 2 brothers in the military. If they didn't have the tools they needed to defend ourselves that would be a scary situation. And so today, getting those recycling -- I mean, there's billions of dollars of magnet landfill every year in the United States alone. And batteries, most of the black mass, meaning the shredded lithium ion batteries today go to China. It's unfortunate. And a lot of those companies were funded by the U.S. government that are sending products to China. That's got to stop. That being said, it's starting to stop. We're starting to get a substantial amount of feedstock. And Chris Moorman on our team -- our Chief Commercial Officer, has done a phenomenal job of opening up some doors and bringing in product that we can produce. Now we're thankfully going to 3 shifts because we have so much product coming in. That's a great thing and focusing aggressively on the Marion facility to ramp up that 400,000 square foot facility, 42 acres. That's huge for the technology that we utilize. The recycle market is phenomenal. It's a phenomenal platform for us because we can refine that. We're replacing that bottleneck. We're replacing what's done in China today. Lifecycle tried to do it, they failed. Not to digs at them, but they couldn't build a traditional hydromet plan. It's one, really hard to permit, and two, really hard to operate. Solving extraction in the United States, I think it's almost impossible to operate economically and impossible to maintain over the long term. On the rare earth side and there's a rare earth producer in the U.S. trying to do that today. Great. I think they're doing a great job in the company. I just think they're going to struggle with that. We can provide the solution to that. We have a platform that we're going to be announcing here shortly that on the ReElement side that showcases how we can work collaboratively with those partners to bring that separation purification step to them to help them be better too. We need to protect our supply chains for our country. And ultimately, that works really well for us as a business because that's revenue and growth. Then on the ore side, why we're in Africa? Africa is one of the most resource in the world, is one of the fastest-growing populations in the world. And we have phenomenal relationships there between Shane Tragethon, Vice President of National Strategy; Ben Kincaid, CEO of ReElement Africa; Baba Kamara, who just joined us on the Board of ReElement Technologies Africa, just a phenomenal group of people that know Africa really well, but more importantly, know how to work with Africa and not exploit them and work in a partnership-based model with them to help drive value locally in the countries but also give us a tremendous amount of feedstock that we can process domestically as well as in Africa to drive economic growth there but also to secure our supply chains here back at home. So it's about securing those feedstocks, which takes time. I mean, you think you can go to somebody and say, "Hey, give me your end of life magnets because you're not doing anything with them today." That's an easy conversation to have. You'd be surprised if it's not their core focus of every day, what they get paid to do, it takes some time to get comfortable to do that. And -- but thankfully, we're at that point now where it's starting to flow in, and that's getting us -- putting us in a really, really good position to really ramp up aggressively.
Mike Niehuser: And how soon do you think you'll see product coming out of Marion facility?
Mark Jensen : Lithium carbonate, we produce lithium carbonate every day now. So as Mark mentioned, during the call, you have to go through the trial and getting through the qualification process and I think we're in the qualification process with 7 different companies today, maybe more, that we ship them samples of lithium carbonate starting off like grams, then it goes to kilograms, and then it goes to tons. And obviously, now over the course of the next short period of time, we will -- we're actually starting to sell that product to one of our groups, and we'll be selling it to a few others. And obviously, on the rare earth side, as we start to expand, we've announced a contract with USA Rare Earth. It's been a great collaborative partnership. We have partnerships with AML, a phenomenal company. One of the coolest magnet companies I've ever have been, working in this industry for a long time now, and their technology is absolutely phenomenal for producing magnet. Great -- check them out. I'm on the Board of the company. We're an investor in the company as well. So extremely excited about them. But we'll start -- we produce lithium carbonate every day. Our goal is when we get Certificate of Occupancy in Marion is to start working on the magnet lines there for recycling end-of-life magnets and preprocessing those magnets and then start turning those into oxide as well.
Mike Niehuser: Okay. Thank you.
Operator: And our next question comes from Steve Segal with KBB Asset Management. Please state your question.
Steve Segal: Hey Mark, how are you? Great job on getting all this stuff done. But you got you and your team. I was just wondering -- I had two questions. One is on the spin-off of carbon, will Wyoming be part of that? And then -- okay, I guess that's the question.
Mark Jensen : Yes. So Wyoming will be part -- so Wyoming County will be part of it. So let me -- when we spin-off Carbon, it's spinning off the American Carbon Complex. With that also comes the ability to produce concentrate. So where Ramaco announced that they have billions of dollars’ worth of rare earths in Wyoming, the state, I guess, we and they would have the same amount of rare earth in Kentucky and West Virginia. And we can spend money on research reports and all that stuff. But what comes with the American Carbon Complex is one, obviously, the Met Coal division, the iron ore platform that we bought, we're working on another acquisition as we speak around the infrastructure marketplace. And we have a couple of mining assets in West Virginia, we're working on as well that we can post-spin-off can look at on the acquisition front, but also comes with about the rare earth concentration side. So as we produce met carbon, the waste material, the iron ore come out of that, the rare earth element in it. So we'll look to also extract that as well, which is part of the initial phase of that is Wyoming County and West Virginia.
Steve Segal: Okay, understand. Thank you for explaining that. And then the bond that you announced today for that facility that could be on the ReElement side correct?
Mark Jensen : Yes. So that's ReElement. That's refining lithium ores from international sources. So predominantly from Africa, working on a partnership in Australia as well as in Canada. The byproduct that comes out of that actually goes into the ceramic industry. So there's really not a whole lot of waste that will come around there. But that's part of ReElement. That's being built on our Knott County Complex. So we have a complex there has about $3.5 million of reclamation liability sitting on the American Carbon platform that we've assigned to ReElement that will be cleaned up here. Those bonds will be removed, less liability for Carbon, better platform for ReElement and phenomenal workforce in those how to process commodities. I mean our team and people we've been employing since in the region since 2015, '16, they know how to process commodities better than anybody in the world, and we're going to give them a long-term stable opportunity for employment to stay in their community.
Steve Segal: Right. And that's not -- is that breaking as coal, right?
Mark Jensen : I mean it's a less -- it's less environmentally harsh process in coal. It's more contained inside of a warehouse, there's no water discharge, we produce cleaner water than what comes into our system. So I mean, it just -- it gives them a really good working environment and lets people and their communities stay in their community. I mean, that community is a disaster right now. I mean Knott County is in rough shape. They have no businesses going there. Corruption is at highest levels, so we're going to help them.
Steve Segal: Is that from flooding?
Mark Jensen : Just in general. No, from lack of a development. Lack of -- the judge executive there has done a phenomenal job to recruit us, they bring us in. But the rest of the community has nothing going for it. And so we're exciting and -- but there's a phenomenal workforce there, but they leave the area to work every day. So we're excited about helping bring a business there that can provide jobs there and start reducing some of the corruption that takes place there.
Steve Segal: Good. Okay. And then the other question is I know it's an unnamed domestic manufacturer, but can you talk about like what your agreement kind of entails now without detail -- too many details and where you see it going to?
Mark Jensen : Yes, that was -- we have numerous partnerships as we speak. I can't disclose all the names because it is confidential, just given their business where they're at in the world today. But we take from -- on the magnet front, we take power tools in, we take rotors in, we take old motors in from the automotive industry, from the power tool market, from the wind turbine market. And then -- so we have -- I can't disclose names other than EDP Renewables who's been a very great partnership for us. They have a ton of repowers coming through, great business as a whole. Excited that we're able to disclose that partnership. Some of the other ones, they're just cautious about disclosing, given their own business interest, nothing with us. We do a lot of stuff with them. So we're excited about that. But taking those -- our relationship with a lot of the magnet groups are, we take the non-spec rotors in and then we share a portion of the percentage of revenue that we generate out of that or the profit that we generate out of it, I should say. And so that's -- the great thing for us is we're building a supply chain in a low-cost way for the industry so that the industry cannot rely up -- can rely upon us, not China, to get their supplies going forward. But hopefully, here in the nearest term, we should be able to talk a little bit more forthright about who our partners are. I can't tell big companies that I can release their names. They won't let me.
Steve Segal: All right. Okay, great. That’s you explained right, always I had things confusing. Okay.
Mark Jensen : Thank you very much. Steve I appreciate too.
Operator: And our next question comes from Kyle Gallagher with Merrill. Please state your question.
Kyle Gallagher: Hey, Mark, you got me?
Mark Jensen : Yes, I got you, Kyle.
Kyle Gallagher: I got to say this seems to me to be an exciting time for you guys. And I feel like in all the times I've been listening to your guys' conference, this is about the most excited I've heard your voice in the prepared remarks. So a lot of good things happening here. My question is you had mentioned something about like a company, I think, like Lease Cycle or Li-Cycle, excuse me for butchering the name. And there were some things that you could do, not specifically with them, but a company like that to help build out the industry. Are you thinking on the ReElement side as you build this up, either through like co-locations or different partnerships, would those be like situations where you would be licensing the technology to like a third party to use? Or how are you guys kind of thinking about expanding and growing some of those partnerships?
Mark Jensen : That's a great question. So we want all the recycling companies in the U.S. to be successful, right? They do one component of the process, we do another component. We do the refining. Li-Cycle is going to build a hydromet plant. It didn't work out. Glencore, they're a great financial partner to them, great company. They stepped in and are helping them. Now what we can offer to the whole entire industry is that separation purification refining step within the hydromet. So if they're producing a leachate, they're taking the end-of-life batteries and they're turning it into a concentrated solution. We can then step in and refine that from them. The CapEx is roughly less -- it's less than half and the operating cost is less than half. So there's no reason why they wouldn't want to do that, and we're starting to get a lot of interest from multiple -- I'm not saying we're working with the Li-Cycle's. I don't want to represent that by any means. But we're getting a lot of interest from a lot of really great partners that need that separation purification step. It will not be a license though. We don't license our technology. The reason for it is our team every day is innovative. And they're always developing better, more cost-effective solutions. We're already the lowest cost in the U.S. Now we want to stay the lowest cost in the U.S. to do that. Bob Galyen told me we need to constantly invest in research. When he joined our Board, it was something he was adamant about. He did it at CATL when he built the company from $0 billion to $185 billion, and he sees our technology is a platform technology, very similar to what CATL was when he joined our company. And the one thing he said to me was always invest in research. And so we've done that with Purdue University as well as within our internal team. And Yi Ding on our team, he is the guy who is phenomenal. I don't think he sleeps. But what we offer is we offer the ability to partner with companies. We will help refine their materials or separate their materials from the rare earth element side to the lithium or the cobalt or the nickel or the neodymium or the zirconium and provide that separation purification step in their facilities as a partnership-based model. That's something we offer today. Now on the other front, we also offer a full suite. We will take it all the way through -- all the way to a lithium carbonate lithium hydroxide with cobalt sulfate, nickel sulfate, niobium and then the oxides on the rare earth elements. But the partnership, it's a partnership-based model. I want to be key about that -- I clear about that because we want to bring our innovations constantly. If we modify something within our process to make it -- to drop our costs from sub-$5 today of lithium carbonate at 5,000 metric tons a month -- a year, if we get it down to $4, we want to be able to bring that technology to the partnership to make that partnership better. So in a license, it's harder to do that. And Purdue doesn't necessarily want to slice out the technology, nor do we. We want to work with them as a partnership in a collaborative way.
Kyle Gallagher: Got it. And then if you could just give a little bit more color, I don't know how many quarters back, but it was a while I had kind of asked you what some of the bottlenecks you were experiencing at that time, it was getting access to a lot of good feedstocks. It seems to me from just what your comments today and what I'm hearing is that the feedstock side of the equation is starting to get ramped up in a somewhat of a material way is how I would think of it. How are you seeing that balance with the offtake side? I think you mentioned that, hey, you do a lot of samples from a gram to a kilo to a ton. Are you seeing an equal ramp up kind of on the offtake side as you are on the feedstock side? Or can you give any commentary on how those two sides of the equation are balanced for ReElement?
Mark Jensen : Yes. I mean, listen, I don't want anything to go slow, like I'm a pretty aggressive guy, and I'm pretty passionate, care a lot about our company. So I want to do things as fast as we possibly can. If you look back a year ago, I would say feedstock was kind of a bitch to get, pardon me the language. Our team has done a really good job at that of securing those feedstocks. Ben Wrightsman came on Board, just a passionate guy. I think him and I are about as passionate as we get. Chris Moorman has done a phenomenal job. Shane Tragethon and Ben Kincaid on the African front on the ore side has done a phenomenal job. Just -- the team has done a great job of building the feedstock, but also these stocks come in when you prove that our technology works, and we've done that. And so now I wouldn't say feedstock is not a problem. Sales aren't -- I wouldn't say sales are a problem either. I mean, one, there's long lead items you've got to get to ramp up production like kilns and stuff like that, which our team is knocking down those barriers every day long. You see a barrier you run through it or you walk around it or you open the door. It's finding a team that's willing to go through the efforts to do that and to continue to push forward in the most economic way and the fastest growth way. Sales side, we have a great partnership that we've been taking material in, and now we're getting ready to selling that back to them in a lithium carbonate form. We're in the qualification process with over 7 companies. A few of those said, we will legitimately take everything you can produce once we get through the qualification process. Now we don't want to do that. We want a diversified portfolio of customers. But as we're ramping up production, especially as the Marion facility gets closer to fruition, our customers will be in line then. What I will say, IRA. So you look at the -- what is it, the Inflation Reduction Act, I forget the name because I don’t think it's what it is. But the -- we will be -- and we qualify under the Inflation Reduction Act. So when we produce lithium carbonate, we're one of the few players in the U.S. are actually and be able to achieve that for our customer base. And so we believe we're in a really good position. And we think you'll actually get a premium to that. Today, in the market, you don't. You get 0 premium if you produce IRA compliant material. Here shortly, we think you will. And that's why we're -- as we're ramping up production to, we can sell all the products we want on the commodity market, but we want direct customers that were -- and that's why we're going through all these qualification processes and they're going really, really well. And then at that point, when you start saying, not only am I through your qualification process but I'm your only IRA-compliant supplier, what is that worth? I think it's quite a bit.
Kyle Gallagher: Yes. As always, Mark, really appreciate your patience on these calls and getting through all of our questions and the candid responses, man. Thanks a lot.
Mark Jensen : Kyle, I appreciate it. We speak from the heart, we speak from where we're at, we speak from the passion that our team shares. And honestly, where we want to see these divisions go, I mean, I built the coal business from the ground up with my team, super passionate about it. I'm not going to give it away for what it's not worth. I'm going to fight for it. Challenging industry it is, but we have great assets. The ReElement division, I've never seen an opportunity like I've seen in ReElement today. It doesn't -- I never thought I'd be in a position to be having a team as passionate as we have, but an opportunity as broad as we have. Refining clinical minerals in a state when our country needs it. Our country needs it for commercial enterprise, our country needs it for defense. So I didn't read remarks today. I kind of went off a cusp because yes, we're passionate, and we're super excited about where we're at. May not be the revenue numbers that people want, and we recognize that, but it's about positioning. It's about being in a position where we can capitalize and take advantage of market opportunities as they exist and survive and thrive, and that's what we do.
Kyle Gallagher: Awesome and thank you.
Operator: And there are no further questions at this time. So I'll hand the floor back to management for closing remarks.
Mark Jensen : Yes, one, I want to say thank you all for joining. As always, I'm a little bit long-winded, but genuinely care about where we're at as a business, care about our team, care about our shareholders, our stakeholders. I thank you all for the time you've given us today, thank you for taking an interest in our company. I'm super excited about where we go from here about see a couple of more earnings calls that we'll have -- you'll hear some different voices as we separate these companies. But thankful for the position we're in and excited about the future.
Operator: Thank you. And that concludes today's call. All parties may disconnect. Have a great day. Thanks.